Operator: Welcome to the SunTrust first quarter earnings conference call. (Operator Instructions) I'd now like to introduce Mr. Steve Shriner.
Steve Shriner: Good morning. Welcome to SunTrust's first quarter earnings conference. Thanks for joining us. In addition to the press release, we've also provided a presentation that covers the topics we plan to address during our call today. Slide 2 outlines the content which includes capital updates, an overview of our financial results and an in depth credit review. The press release, presentation and detailed financial schedules are available on our website, www.suntrust.com. This information can be accessed by going to the investor relations section of the web site. With me today among other members of our executive management team are Jim Wells, our CEO, Mark Chancy, our CFO and Tom Freeman, our Chief Risk Officer. Jim will start the call with an overview of the quarter. Mark will then discuss our financial performance and Tom will conclude with an in-depth review of asset quality. At the conclusion of the formal remarks, we'll open the session for questions. Before we get started, I need to remind you our comments today may include forward-looking statements. These statements are subject to risks and uncertainty and actual results could differ materially. We list the factors that might cause actual results to differ materially in our press release and SEC filings which are available on our website. Further, we do not intend to update any forward-looking statements to reflect circumstance or events that occur after the date the forward-looking statements are made. We disclaim any responsibility to do so. During the call we will discuss non-GAAP financial measures when talking about the company's performance. You can find a reconciliation of these measures to GAAP financial measures in our press release and on our website. Finally, SunTrust is not responsible for and does not guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized live and archived webcast are located on our website at www.suntrust.com. With that, let me turn it over to Jim.
James Wells: Good morning everybody. There are two clear messages that emerge from our first quarter results. First, we are still working through credit and earnings challenges as the weak economy continues to take a toll on performance. Second, there are some preliminary signs of improvement in several key areas including mortgage originations, consumer and commercial deposits and early stage delinquencies. This morning's results confirm that SunTrust remains financially strong with enhanced capital, high liquidity and bolstered reserves. In other words, we do have the resources necessary to continue to manage successfully through this cycle to withstand the impact of continued economic weakness and to emerge on the other side of this situation well positioned. In addition, we're doing a pretty good job of controlling what we can control and taking advantage of opportunities as was evident in the expected expense discipline and impressive deposit growth and strong mortgage revenue growth, all of which contributed to what I would describe as solid core results and have positive implications for future performance. Clearly this positive underlying picture is overshadowed by the impact of recession related pressure. That gets me back to our quarterly loss, what caused it and what it means. As you know we reported a total loss of $2.49 per share. However, the overwhelming majority of it was attributable to a non cash tax charge of $714.8 million or $2.03 per share related to the impairment of goodwill associated with our real estate lending businesses. It's important to note that the goodwill impairment charge was a direct result of continued real estate market and macro economic deterioration that put downward pressure on the fair value of our mortgage and commercial real estate related assets. It reflects the current cyclical downturn which resulted in depressed earnings in these businesses and a significant decline in SunTrust market capitalization during the first quarter. I'll point out that this charge does not reflect our view of the intrinsic value of the related businesses or our commitment to them. It is also important to reiterate that goodwill impairment charge does not impact our strong regulatory capital intangible equity ratios. Excluding this goodwill impairment, our core loss for the quarter was $0.46 significantly less than the loss in the prior quarter. We clearly do not like reporting a loss of any level, but you all know that the operating environment remains difficult. We hear glimmers of hope with respect to economic and credit outlook, and while we know recovery will be forthcoming, we're not looking for things to turn around quickly. It is therefore, appropriate that we remain sharply focused on maintaining a strong capital position and mitigating near term recession related risk. I mentioned capital liquidity a moment ago. Our strong regulatory capital position was further enhanced during the quarter. Despite the loss we incurred this quarter the estimated Tier One capital ratio increased 13 basis points over the last quarter to 11%. Moreover, our equity to assets ratio increased materially in the quarter. I'll also point out here that we have substantial liquidity available due to inflows of high quality deposits and longer term financing sources although demand remains weak for loans to higher quality borrowers. Given our strong capital position, you may wonder what our position is on the repayment of the government preferred capital. Clearly we would like to return it as soon as is practical, recognizing that it will require regulatory approval and that approval will likely be dependent on the point of view that the recession is easing. I'd like to spend a little more time on the operating environment we faced during the first quarter before I turn it over to Mark to provide details on financial results. There were a lot of different factors in play this quarter and not all were negative. First, we are seeing some weakness in our commercial client base related to stress on their revenues and overall profitability particularly those in cyclical industries. This was most evident in our commercial charge off number, however access to capital markets has improved for our larger clients and as a result, we did experience modest improvement in the overall capital markets revenues. Commercial clients have also increased their liquidity and as a result, deposits grew significantly and we saw line of credit utilization decrease in the first quarter. On the consumer side we experienced increased losses on real estate secured loans as values declined and unemployment increased. In other portfolios, losses declined and early stage delinquencies moderated and even in some cases declined. Now I'll take a moment to discuss a very positive trend, our overall deposit growth as growth from consumer clients was robust and the overall mix was quite attractive. Consumer and commercial deposits were up $7.2 million or 6.8% when compared to the fourth quarter of 08. We believe a couple of factors were in play here, including client preference for insured deposit products, receptivity of our Live Solid, Bank Solid comprehensive marketing efforts, improved products and pricing, and our elevated focus on client service. This has been a multi-faceted approach to improving the overall client experience resulting in enhanced new relationships as well as improved retention and expansion of existing households. One last point of particular note on the consumer side before I move on was mortgage refinancing. Volumes were up dramatically, nearly 90% compared to the fourth quarter. This increase not only provided a significant source of fee income but from a macro perspective, it also puts more money in consumer's hands. As you know, a major focus of our organization has been expense control. Our commitment to tightening and managing expenses remains unchanged. However, there are numerous factors impacting our expense line this quarter. We've talked about credit related expenses previously and we now have increased FDIC insurance premiums and pension costs adding to our expense pressure. We have largely accomplished our highly successful program run rate savings goal of $600 million in 2009. Last quarter we also disclosed additional measures including no merit based salary increased for over 4,000 senior managers and reduced target levels for salary increases across the board for the rest of the team. Today, SunTrust is a leaner, more efficient and more productive organization than was the case a short time ago. You should know that our expense vigilance continues every day. We are focused on things we can control such as travel, consulting and vendor management, and further we are continuously reviewing our support structures and business units seeking to provide superior client service as efficiently as possible. At the same time our focus extends beyond expense and risk management. We're also actively focused on ensuring that we are prepared to take advantage of revenue opportunities. Last summer we commissioned an internal team to perform an in depth evaluation of improvement opportunities. They confirmed that front line execution to client experience and employee satisfactions were the keys to making us more successful and improving client acquisition and retention. The result of this analysis has been the successful implementation of many incremental initiatives that are collectively having a direct impact on client as well as employee satisfaction. The results are showing up in both households and accounts and a client satisfaction research results. We are committed to excellence in execution. That's what our current and prospective clients demand, a bank that they can trust to get things done right every time. As I've said numerous times, we simply to not know how long or how deep this recession will be but we do know that there will be a conclusion to it. We are keeping our eye on the ball and are executing on many initiatives to help ensure that SunTrust emerges stronger and better positioned competitively to deliver superior shareholder returns. Our performance on the other side of this tough cycle will in large part be driven by initiatives we are pursuing today to expand our revenue generation capacity, increase expense efficiency and to improve the profitability of the balance sheet as well as prudently managing credit. Our priority has been and remains to continue to navigate successfully through this extraordinarily tough cycle while simultaneously positioning ourselves to take advantage of the future growth opportunities that will lie on the other side. Given our strength and resilience and the underlying progress reflected in the first quarter, we remain confident in ability to do both of those things. And now I'll hand it to Mark.
Mark Chancy: Good morning everyone. I'll begin my comments today on Slide 4, the earnings presentation with a brief discussion of our capital position. I'm pleased to report that all of our key capital ratios increased during the quarter. The Tier One capital ratio is estimated to be 11%, up 13 basis points from the fourth quarter level, and the total capital ratio increased 11 basis points. Importantly, all of our equity to asset ratios also increased, and specifically our total equity to total asset ratio increased nearly 130 basis points to 12.5% and our tangible common equity ratio increased 23 basis points to 5.82%. The primary driver was a $9.3 billion or 5% reduction in tangible assets with a $6 billion reduction in other assets due to the January settlement of the sales of mortgage backed securities at year end that we mentioned during last quarter's call. The remaining $3 billion was primarily related to a reduction in trading securities during the quarter. We view our regulatory and tangible equity ratios as very strong both on an absolute basis relative to our risk profile and comparatively to other financial institutions. In addition to the protection that our capital provides, SunTrust remained high liquid at quarter end. Core deposits increased to a record over $112 billion. We had nearly $6 billion in cash and no overnight borrowings as of March 31. As such, we believe this combination of strong capital and high liquidity positions us to meet the borrowing needs of our clients while maintaining an adequate buffer against further deterioration in the economy. Shifting to Slide 5 and the summary of the financial results, for the quarter we posted a loss of common shareholders of $875 million or $2.49 per share. Excluding the goodwill charge, the loss was $161 million or $0.46 per share. As Jim mentioned, these results are clearly not good results but the core earnings of the organization did improve versus the fourth quarter. Improvement occurred largely on the strength of mortgage related revenues and in spite of an increase in seasonal employee benefits costs, higher FDIC premiums and significantly increased pension costs. As you will see in a few minutes, we had a net benefit this quarter of non interest income of approximately $120 million which was largely related to a write up in the value of our long term debt and related hedges carried at fair value. However, the fundamental earnings of the organization did improve even if you adjust for these items. As you can see on the slide, net interest income declined compared to both the first quarter of last year and the fourth quarter of 2008. While average earning asset levels were comparable in these periods, the rate earned on assets declined more rapidly than the rate paid on interest bearing liabilities and as a result the margin depressed. Provision was up slightly versus the fourth quarter as we continued to build the allowance for loan and lease losses to 2.21% in the quarter. Non interest income was a bright spot in the quarter, improving 60% versus the fourth quarter and 8% year over year largely driven on mortgage related revenues. During the quarter we reported a tax benefit of $151 million against a pre tax loss of $966 million for an effective tax rate of negative 15.6%. This tax benefit appears low to you I'm sure and that is because 90% of the $751 million of goodwill impairment was non tax deductible. The last comment I'd like to make on this slide is to note that $66 million of the $71 million in deferred dividends is the quarterly cost to the company of the outstanding $4.9 billion in preferred securities that were sold to the treasury in 2008. Now let's move to Slide 6 and we'll talk about the balance sheet. Overall loan balances depicted on this slide declined 3% and 1% as compared to last quarter and last year respectively, Total loans as reported in the financial tables accompanying the press release will show a 1.7% increase year over year and the difference between these two is that non performing loans have been excluded from this slide. Our aggressive efforts to reduce exposure to construction lending are evident from the 17% balance decline that's noted in the quarter. The home equity, commercial real estate and consumer direct portfolios increased both year over year and since the fourth quarter. Commercial lending is a portfolio that we have been growing as you can see by the 8% increase versus last year. The decline from the fourth quarter was driven largely by our mid size and larger corporate clients paying down their lines of credit as their utilization rate declined about 2%. The reduced utilization is driven by both improved access to the capital markets funding and by lower working capital needs as inventories are being reduced and investments are being delayed or cancelled due to the economic environment. We are very pleased with the accelerated pace of deposit growth in the quarter and the improved mix. Average consumer and commercial deposits increased 5% in the quarter relative to the fourth quarter of 2008. Most products showed strong growth and demand deposits led the growth at 9% sequential quarter or 36% on a sequential annualized basis. I'm going to elaborate on core deposit growth on the next slide, so the final point here is that growth in core deposits allowed us to aggressively reduce our brokered and foreign deposits in the quarter by over $5 billion or 41%. So let's move to Slide 7 for a more detailed view of deposit trends. We noted during our last earnings call that deposit growth had accelerated during the fourth quarter and you can clearly see on this slide that the trend continued during the first quarter as well. Average monthly core deposit balances increased 6.7% from December to March with an average balance of $111 billion in March and an ending balance of a record $112 billion. The other trend that is clearly evident in this slide is that the increase in growth in demand deposits which was almost 17% from December to March as compared to the 9% quarterly average growth on the previous slide and we will readily acknowledge that a portion of the core deposit growth is related to an industry wide life safety as well as seasonality. But we also firmly believe that we are seeing the benefits of a number of actions that we have taken. For example, the accounts and households acquired during our successful My Cause campaign are maturing. The Live Solid Bank Solid brand awareness advertising has been very well received and we've been refining our pricing packages. However, our actions go beyond advertising and pricing. As Jim mentioned in his opening remarks, we've been intensely focused on improving execution and operational excellence. We are streamlining account opening processes, reducing error rates, increasing training and many other little things that are making us easier to do business with. Early results of these efforts include improved client service and satisfaction and a resulting increase in client acquisition and retention rates. While deposit growth may moderate, or even turn negative as the seasons change and the economy improves, increased core deposits and improved mix and a continued focus on execution, creates a solid foundation to drive margin and earnings in future periods. So let me shift to margin on Slide 8. After remaining relatively stable for the past year at slightly above 3%, net interest margin declined to 2.87% in the first quarter, down 20 basis points year over year and 27 basis points sequentially. This compression was a result of several factors, some longer term and some of which are temporary and should revert more quickly. On average, one month LIBOR declined 175 basis points from the fourth quarter to the first quarter and being asset sensitive, our market index floating rate asset yield re-priced downward faster than the corresponding liability. This re-pricing accounted for approximately two thirds of the margin depression which we expect to recover as our liabilities re-price over the remainder of the year. Additionally, the strong growth in our core deposits and our high level of liquidity that I previously discussed, significantly outpaced our loan growth in the quarter, creating a short term drag on margin as we look to leverage these deposits on the balance sheet in future periods. Finally, the remaining compression in margin was due to the increase in non performing loans as well as the sale of higher yielding mortgage backed securities and their replacement with lower yielding MBS's as part of our MSR hedging strategy during the fourth quarter. In short, we believe that the margin is temporarily depressed and we are optimistic about the possibility of expanding over the remainder of 2009. Specifically, we have a significant dollar amount of customer and wholesale CD's that will re-price in the second and third quarters and we have additional opportunities to refinance selective borrowings in the near future. Moving to Slide 9 and provision expense, Tom will cover credit in detail in a moment, so I'll be brief here. Total provision expense for the quarter was $994 million, up $32 million from the fourth quarter. Net charge offs increased $610 million up 10% in the fourth quarter to 1.97% of loans. Provision of $384 million was recorded in excess of net charge offs in the quarter to build the loan loss reserve. This reserve build was down $26 million compared to last quarter, but it did serve to increase the allowance 2.21% of loans. Part of the increased allowance relates to a change in how we will classify certain borrower misrepresentation related losses during 2009 and I'll provide some details on this change in a few minutes. Let's move to non interest income on Slide 10. Reported non interest growth was up 60% and 8% as compared to the fourth quarter and last year respectively. After adjusting for a number of non core items impacting the quarters, non interest income increased a strong 27% and 4% respectively. We provided the detail underlying our non interest income adjustments as well as some additional data in the appendix for your review. The largest adjustments in the first quarter results was a $113 million write up in the value of our publicly traded debt and related hedges carried at fair value. Smaller adjustments included a partial reversal of the mortgage servicing impairment recorded in the first quarter and a gain of $25 million on the extinguishment of over $100 million of debt we purchased at a discount. These last two items were largely offset by some additional write downs on trading securities and marks on mortgage loans carried at fair value. Mortgage related revenue and in particular mortgage production income was the primary driver behind the strong growth in non interest income. Volume increased 86% from the fourth quarter and 15% relative to last year. In addition to higher volumes, production margins increased and mortgage repurchase reserves decreased versus the fourth quarter. Additional deposits in the quarter included enhanced trading revenues from our fixed income and derivatives units and investment banking revenues driven by our bond origination and direct financing units. However, trust income and retail investments income did decline in line with market values and lower transaction volumes, while service charges declined as a result of higher average balances and lower insufficient fund fees. Overall, we are relatively pleased with non interest income in the quarter given the improvement in mortgage revenue and the solid quarter posted in our capital markets businesses However, we recognize that both of these revenue sources are highly sensitive to interest rates, market liquidity and the economy in general. Mortgage production volumes in particular have shown a high degree of sensitivity around the 5% coupon level. Additionally, production margins were favorably impacted by high demand and an industry wide lack of capacity to fully meet the demand and therefore higher interest rates and increasing industry capacity could negatively impact production revenues in future quarters. Let's turn to Slide 11 and talk about non interest expenses. On a reported basis, non interest expense increased 74% when compared to the first quarter of 2008 and 37% compared to the fourth quarter. The only adjustment we've made to the current quarter as you can see on the slide, is $751 million in goodwill impairment discussed previously. Excluding goodwill, and the minor amounts in prior periods, non interest expense declined 9% in the fourth quarter and increased 12% year over year. However, there are a number of items impacting these adjusted numbers that warrants additional explanation. The bottom line is that we've provided the underlying drivers for the majority of the changes as compared to the fourth quarter and first quarter respectively so let me walk you through the slide. The total year over year increase in adjusted expenses is $150 million. As you can see, the sum of the four lines below the $150 million on the slide is $183 million. What this means is that more than all of the increase over 120% in fact, was driven by credit costs, higher FDIC premiums and pension costs. Said another way, this means that the net of all remaining expenses at SunTrust declined by $33 million year over year. On a sequential quarter decline in expenses, the same items listed explain about 90% of the decline, meaning that all other expenses together declined about $12 million. All of the items listed on the page should be fairly self explanatory with the exception of the large decline in credit costs compared to the fourth quarter. So please turn to Slide 12 where I'll describe some changes we've made to our approach for certain fraud and claim denial related losses. This slide shows where we record certain types of losses among provision, operating loss and other real estate related accounts. The only items that are changing in the quarter are highlighted on the slide. Borrower misrepresentation and claim denials were previously charged to operating losses and you may remember that we had established an increased operating loss reserve related to these loans in the third and fourth quarters of 2008. Beginning in 2009 we will record these losses as charge offs and the necessary reserves related to these loans will be included within the overall allowance for loan losses. While we expect losses to continue on loans with borrower misrepresentations, we have concluded that general economic and credit conditions are the predominant contributor to the losses and as such, we will treat them as credit losses going forward. If you will turn to Slide 13, I'll go over the sequential quarter impacts this change creates. This slide depicts the fourth quarter and first quarter classifications for fraud and claim denial losses and reserves. The top box included operating loss expenses in reserves where the operating losses include both borrower misrepresentation related to losses and the primarily deposit related losses noted on the previous slide. Going forward, operating losses will not include the borrower misrepresentation related losses. Excluding these losses, operating losses overall have historically been $10 million to $20 million per quarter. These historical losses were primarily driven by deposit related fraud and occasionally litigation related expenses. Deposit related fraud and litigation typically increase during recessions and therefore we expect the operating loss in future quarters will probably revert to the middle to upper end of the historical range. However, there will be likely some volatility in these results. At the bottom of the top box you can see that operating losses in the quarter were approximately $23 million or slightly above the range that I just discussed. Operating loss write downs in the first quarter were $187 million up $118 million from the $69 million recorded in the fourth quarter. The majority of the increase was due to a backlog of disputed claim denials that the company elected to write off as the probability of recovery had diminished. In the bottom box, we have summarized the combined operating loss and provision related income statement impacts ending reserves. So while the geography of these expenses and reserves has changed, the absolute level of both did not change significantly during the first quarter. Specifically, total expenses related to these items declined by $23 million and as compared to the fourth quarter while reserves increased about $8 million. So just to summarize, going forward, these types of fraud related losses will be recognized to charge offs and reserve for any allowance. Since we have been working through this backlog of disputed claims noted above, we expect that in the second quarter, charge offs will increase by roughly $100 million to reflect this change. Now, if you'll turn to Slide 14 for a brief comment on our securities portfolio before I turn it over to Tom to talk about credit. We have provided you in the past, detailed disclosures regarding our higher risk security holdings in previous quarters and in our last quarterly call we noted that we had succeeded in largely de-risking the portfolio of higher risk trading assets. This slide depicts our overall securities holdings at the end of the first quarter. The total of trading and available for sales portfolios totaled $27 billion at the end of the quarter with 80% of fixed income securities invested in highly liquid, high quality government and agency securities. So with that as background, let me turn it over to Tom for a detailed review of our asset quality.
Tom Freeman: This morning, I'm going to provide a review of our asset quality beginning on Slide 15 of the presentation. Credit quality weakened in the first quarter although there were some positive signs in certain portfolio segments. The trends are clearly evident on the schedules. Non performing assets and charge offs showed increased during the quarter while on the other hand, delinquencies improved from several consumer and mortgage asset classes. Non performing assets increased $790 million during the first quarter to $5.2 billion or 4.21% of loans and other repossessed assets. This change is about the same dollar increase as in the third and fourth quarters. The growth was largely comprised of residential mortgages and residential construction. Mark has already spoken about the classification change for borrower misrepresentation and claim denial related loan losses that contributed to our first quarter reserve build so we'll add to his comments on that point. In total, we added $384 million to the allowance in the first quarter which raised our reserves to loan coverage ratio to 2.21%. Growth in the allowance excluding the classification change was $211 million compared to $410 million in the fourth quarter. Please turn to Slide 16. Asset quality issues remain primarily residential real estate related. This includes residential mortgages, home equity products, residential construction and construction deferred. Given the current economic environment, our general C&I portfolio continues to perform reasonably well. While the effects of the recession can be seen in weaker business activity, for the most part stress have been limited to the cyclical industries that typically experience declines in revenues and cash flow through general business downturns. In particular, we are watching industries linked to residential and commercial construction and supply, auto dealers and other related auto, trucking and transportation and advertising based media companies. Our portfolio is well diversified by industry and geography which helps balance the negative impacts of weaker industries. Commercial real estate portfolio also continues to perform reasonably well. It is diversified by product type and geography and is largely owner occupied. While we did see a minor increase in early stage delinquency, we have not experienced any material deterioration in this portfolio. Overall, annualized first quarter net charge offs increased 197 basis points up from 172 basis points in the fourth quarter. The increase was primarily centered in residential real estate categories while consumer direct and indirect loss rates improved. The commercial category also increased in the quarter. This increase was largely as a result of a few larger write downs to clients in cyclical industries discussed earlier. Commercial real estate charge offs returned to a level more consistent with recent experience. After a fourth quarter commercial real estate charge off were primarily affected by a single large commercial purpose credit that was secured by real estate. One of the leading indicators of credit quality is 30 to 89 day past dues. This is a positive data point for us in the first quarter, declining 5 basis points to 176 basis points. We experienced improvements in early stage delinquencies in nearly all consumer and mortgage products, two small portfolios, direct consumer loans, the majority of which are government guaranteed, and credit cards with a principal exceptions. Delinquencies in most of the commercial categories were relatively stable quarter over quarter. Seasonality may explain some of this delinquency improvement in the consumer and mortgage book so I'm not suggesting that we've turned the corner, but believe our focus on consumer and mortgage collections in default mitigation also contributed to the decline. Some of the economic data has moderated such as consumer confidence and that may also be having an impact. We should also recognize that the majority of our customers are meeting their mortgage obligations on a month to month basis. In fact, over 90% of our combined residential mortgages are current. The final point on this slide is that our credit card portfolio is very small compared to most banks our size. We have just $976 million in credit card receivables and consumer card is only $475 million of the total. The remainder is corporate card programs. Now I'd like to turn to Slide 17 and review the residential mortgage portfolio. There are two important messages to take away from this slide. First, mortgage balances declined in all products except the core portfolio. The highest risk products, I'll take firsts and seconds, and lot loans have declined to less than 2% of loans and should not drive large changes in our credit quality numbers going forward. The second take away is that delinquencies improved for all mortgage products except home equity loans and prime seconds. The increase for the home equity loans was fairly modest in dollars and for prime seconds, although the delinquency rate increased and the dollars past due actually declined. The Altay products had the most dramatic drop in delinquencies with a 60 plus ratios dropping by a third despite continued declines in outstanding balances. Further, all delinquency buckets up to 150 days past due showed improvement for both the Altay first and second mortgage products. We expect the seasonality to drive some delinquency reductions but the Altay improvements were much stronger than one would expect from normal seasonal trends. Non performing mortgage loans increased in the first quarter to about $2 billion. This was not unexpected given the level of our mortgage exposure in Florida, a judicial foreclosure state and the foreclosure moratoriums. Last quarter we provided a review of the prime second portfolio insurance profile, and our expectation that most of the pulls would reach the first level insurance cap in 2009. We have added to the allowance to cover the losses we currently expect. As a reminder, SunTrust bears any pull cumulative losses from 5% to 8% and insurance applies again to cumulative losses up to 10%. SunTrust bears the risk of loss in each pool for cumulative losses exceeding 10%. At the end of the first quarter, we reserved for our exposure in the 5% to 8% range. 2006 and 2007 vintages are performing the worst and we expect to record increased charge offs on these portfolios in the second quarter. Now let's talk about home equity lines on Slide 18. Home equity credit performance is for the most part driven by the two highest risk segments in the portfolio; lines originated by third parties and lines in Florida exceeding 80% combined loan to value. These two segments account for just 22% of our outstanding's which generated a disproportionate amount of charge offs and non accruals. There's virtually no line of availability remaining in these two segments, nor for that matter in the portfolio of Florida non equity lines over 90% combined loan to value. Now let's look at the $11 billion of the portfolio that is exhibiting better performance. First, non accruals increased again in this quarter because there is recoverable value in these loans as opposed to full balance charge offs. More loans in this segment have lower loan to value ratios and there's a higher level of first lien positions so instead of charging them off, we are pursuing recoveries. This creates a higher level of non accruals. However, consistent with our policy, we are writing the value down for realizable market value at 180 days past due. You may also note that balances have increased in this portion of the portfolio the last few quarters. These increases are primarily from new originations and is consistent with our commitment to continue to extend loans to credit worthy borrowers. Although past dues are not referenced on the slide I want to point out that the consumer delinquency improvement I've already noted in residential mortgages also extends to the Heloc portfolio. In February and March, we saw material improvement in all early delinquency buckets up to an including 90 to 120 days past due and the positive trends appear to be continuing in April. Now if you turn to Slide 19, I'll provide a bit more detail about our mortgage and Heloc portfolios. The first thing you will see on this new slide is current FICO are really strong for both mortgage and Heloc portfolios. If you adjust for non performing loans the scores are even stronger. Next is the conservative loan to values at origination. The point that's most evident on this slide is the impact our mortgage and Heloc concentrations in Florida have on non performing loans. The comparatively poor performance of the accounts in Florida, where delinquency rates are twice the levels of the rest of the portfolio, combined with a foreclosure timetable that averages 12 months are driving the high MPL levels in Florida and the portfolio overall. Now let's look at our construction exposure on Slide 20. As expected, and continuing a multi quarter trend, construction outstanding's declined significantly in the first quarter and now stand at just over $9 billion. Balances declined 8% this quarter and were down 34% since December 2007. Construction loans now comprise just over 7% of SunTrust's total loan portfolio. The annualized charge off ratio increased to 3.76% due to the decline in balances. Construction term loans continued to decline and down over 65% from their peak in July of 2007. This portfolio should continue to run off and credit quality should improve as more than 50% of the performer portfolio was originated under new credit standards since October of 2007. Of the older, pre-October 2007 performing portfolio, 95% has matured or will mature within five months. A significant part of the non performing construction loans has been through the write down process with an average write down of 18% to 20%. The residential builder portfolio continues to be great area for us given the residential construction, A&D and land loans in the portfolio. Balances are down $389 million or 8.6% in the first quarter, while non performing loans increased by $175 million or roughly 20%. Based on the increase in non performing loans and our continued efforts to move loans through the work out process, we expect residential construction charge offs will be at current or higher levels in the second quarter. Credit performance in the commercial construction portfolio continues to be stable. Balances declined $211 million or 5.8% in the quarter. While first quarter charge offs were up, they were comprised of a few relatively small occurrences. As we showed last quarter, the portfolio is well diversified by geography and product type. Let me summarize today's credit discussion before turning the call over to Steve. Please turn to Slide 21. Overall the credit environment has not changed a great deal in the last three months. Asset quality deteriorated in the first quarter; however we are seeing some positive signs in consumer and mortgage delinquencies. Although we expect that seasonality played a role, we believe our enhanced default management practices also contributed to the improvement. We are seeing some weakening in the C&I book, notably in industry sectors most impacted by the residential and construction decline and by reductions in consumer spending, but overall the C&I portfolio is well diversified and performance is satisfactory given the recessionary environment. Over half of the non performing loans are residential mortgages and home equity lines of credit and two thirds of the residential mortgage MPL's are currently carried at estimated recoverable value. The residential and Heloc portfolios are prime portfolios underwritten with solid borrower credit scores but performance of both segments is disproportionally influenced by concentrations in Florida real estate. The construction portfolio is performing as expected with the majority of the deterioration in residential related categories, while commercial is holding up well. Balances declined significantly over 34% in the last 15 months and 8% in the last quarter. The impact of the recession is beginning to show up in commercial and commercial real estate portfolio asset quality. The commercial portfolios are broadly diversified. They are performing well given the environment. We increased the allowance for loan losses to 2.21% of loans during the quarter. The increase was driven largely by continued weakness in the residential real estate consumer portfolios and by the classification change to include fraud related loan losses in reserves going forward. Credit losses are expected to increase in the second quarter given the classification change related to fraud losses combined with continued deterioration in residential construction and cyclically sensitive commercial exposures. However, our outlook for higher second quarter losses should not be taken as a need for future reserve addition. Now I'll turn it over to Steve.
Steve Shriner: Before we open up the lines for calls, I'd like to remind you to please limit yourself to one question and one follow up. We're ready to take some questions.
Operator: (Operator Instructions) Your first call comes from Brian Foran – Goldman Sachs.
Brian Foran – Goldman Sachs: I'm trying to think about your ability to earn your way through this cycle, and I think about it in two ways; first just implicitly the reserve to MPA ratio at 50% and second pre provision earnings in the $700 million to $800 million range this quarter versus MPA formation in four and when I say MPA formation, MPA growth plus charge offs in the quarter. I know everyone thinks about that a little different, but in both cases it would seem like 50% is a very important metric, i.e. the severities on problem loans are less than 50%, you're kind of okay because you can just earn your way through this and it will be painful, and if severities are more than 50% then it would be more problematic. So can you give us some data points around what you're seeing in actual dispositions, loan sales, some metrics to get comfortable that severities on the MPA book and the new MPA's that are forming are below 50% and therefore, you can earn your way through this and is that a fair way to think about it?
James Wells: First of all as I believe we've talked about in previous quarters, we tried to show our charge off capability and how we're carrying our non performers and how closely those non performers are written down and our ability to continue to sell when we get hold of the properties at the values that we write down to. A majority of our loans that go on to non performing are secured by real estate either on the commercial side or primarily houses and coming out of construction loans, or they're single family mortgages, so they're well secured. And as you take a look, we provided you with I think a lot of detail on our charge off rates and our carrying rates in those mortgages. We're primarily secured and with that primary security we don't see charge off rates on the portfolios approaching the 50% rate. So I think your thought process around how much earnings potential we need to have to get through the charge offs is not a bad through process. I think our secured nature of almost all of the assets in the portfolio mitigates much of what your concern would be. And thirdly, I think we've been fairly successful in identifying the terminal value of the assets and disposing of the assets against the terminal values given that we write them off at 180 days at 85% of the then fair market value. And we continue to write them down where that's required.
Brian Foran – Goldman Sachs: The mortgage re-insurances losses at about $250 million cycle to date, can you remind us what the maximum exposure is or just some metrics around exposure around that book so we can get potential future loss potential?
Mark Chancy: The re-insurance reserves we have been building over the course of the past three quarters. We have a combination of both premium income and incremental capital to be depleted if you will in terms of the incremental reserves through this cycle. We have only $20 million or so of incremental capital that can be consumed as a result of these re-insurance reserves but dependant on the level of premiums that we receive; those premiums are likely also to be consumed in terms of the expected losses that are coming from the trusts. So to try to give you the exact expense number is challenging but there will be a corresponding revenue item associated with those premiums and so the net effect if you will is approximately $20 million. But we basically built the reserve significantly over the course of the past several quarters almost to the full amount, is the bottom line.
Operator: Your next question comes from [Kevin St. Pierre – Sanford Berstein]
[Kevin St. Pierre – Sanford Berstein]: Just following up on the reserve adequacy, I thank you for the disclosure on Slide 26 about the non accruals and residential mortgages. I think it would help us evaluate the reserve adequacy for the entire portfolios of non accruals would be something like this for the total amount of accruals, so could you tell us what percentage of total non accruals are carried at expected recoverable value and what the cumulative write down is.
James Wells: The C&I portion of our non performing loans, which is what I think the question is.
[Kevin St. Pierre – Sanford Berstein]: For residential construction as well, we would want to know what the mark down to non accruals has been and they flow into non accrual status.
James Wells: Those would come in through the residential real estate portfolio line so those have already been marked down in about the 20% to 24% range in terms of what we've been marking those things down on the construction lines.
Mark Chancy: One of the ways to look at that is we take the write down on those commercial type residential loans at the time of foreclosure, so the write down for those is primarily still in the reserve and if they're larger loans, it's in the specific cap loan by loan reserve as opposed to having been written down. So it's not an apples to apples comparison which is one of the reasons why we have not provided that detail on the commercial portfolios since they're fundamentally not accounted for under the same as the consumer real estate secured loans.
James Wells: A follow up portion to that question would be we have a relatively substantial element of 114 reserves. The 114 reserves on the commercial side of the portfolio is, we build the reserves for every one of the loans over $4 million in the portfolio on a net cash flow basis and fully reserve for those losses within the loan loss reserve.
[Kevin St. Pierre – Sanford Berstein]: So for hypothetically for a large residential construction credit that would come in the amount reflected in non accrual is the outstanding principal balance.
James Wells: That is correct. Within the reserve there is a specific reserve against that loan if we believe the cash flows are the value of the assets are insufficient to repay the loan.
Operator: Your next question is from Mike Mayo – CLSA.
Mike Mayo – CLSA: The simple question is where do you expect MPA's and charge offs to go in the second quarter and the sub question would be, you mentioned seasonality, what did you mean by that? REO, how do we know that marks the level or how do you know it's marked at the right level, and you said 30 days delinquencies are good predictors to make you feel better, but it didn't seem to be a good predictor last year because it didn't go up so much and yet charge offs and MPA's still went up. I'm really just trying to get where you think your problem assets go in the next quarter or two.
Mark Chancy: First of all, we're not providing specific guidance as it relates to MPA's and charge offs. We did however end the presentation this morning talking about a specific increase that we do expect relative to the current run rate which relates to the reclassification of the borrower and his representation of fraud losses into charge offs which we believe will be approximately $100 million increase to the run rate that we currently are experiencing in over all charge offs.
Mike Mayo – CLSA: That would be a permanent step up?
Mark Chancy: No, not a permanent step up. It's just based on our current volume of losses coming from loans that had historically been characterized as operating losses because they had some level of misrepresentation. We're just giving you some detail on that category as it moves from the income statement and the operating loss segment over to provision expense.
Mike Mayo – CLSA: If you had done that this quarter, what would the impact have been?
Mark Chancy: I don't have that number. Let me grab that for you while Tom's commenting on MPA's and we'll get back to you at the end of the comment.
Tom Freeman: Can you give me the elements of your one question again?
Mike Mayo – CLSA: Just 30 day delinquencies were not a good predictor of the loan problems last year so I guess I wondering if that really is such a good predictor for future MPA's or future charge offs because it wasn't a good predictor last year.
Tom Freeman: 30 day delinquencies on the consumer side of the portfolio I think are probably the best predictor of what's going on within the rules and account of the number of mortgages or other consumer products that would go on. The billed and non performers as the 30 day delinquencies continue to build during the period of time came upon us specifically in the fourth quarter with a rush in the fourth quarter. What we're seeing is a mitigation across all products and all vintages up to about 150 days. We've seen some real improvement around that. First quarter has historically be for consumer products a time when you have an improvement in delinquencies. We were not expecting a substantial improvement in delinquencies given the general degradation in the economy so we're somewhat surprised by the improvement during the quarter. If in fact this improvement keeps up, the number of loans moving into delinquent status and therefore our ultimate charge offs will fall later in the year and so while we haven't yet rolled through our forecasting models and the rest of it, these improvements, they're relatively, we can see some improvement in the second half of the year if the second quarter looks anything like the first quarter.
Steve Shriner: To go back to the question, if you look at Slide 13 under operating loss written off, you see the credit there, the $164.6 million in reduction. That's the reserve release related to those, so that's what would have flowed through charge offs, but as Mark also mentioned, we charged off a backlog of disputed claim denials which is why we provided the additional statement that we really only expected to go about $100 million in the next quarter because there was some work through of those disputed claims.
Mark Chancy: You had one more element to your question.
Mike Mayo – CLSA: Just the REO prices, you're hearing that a lot of properties aren't selling. You have $594 million or REO. How do we as investors know that that's marked down to the right level and how do you know that that's been marked down to the right level if there aren't a lot of transactions in certain categories?
Tom Freeman: I think the control structure around that is basically on a monthly basis. We take a look at the REO balance to charge off amounts and ensure that we're holding the REO balance against the charge off amounts and we're required not only for our controllers group and our internal audit group, but also for our outside auditors to verify that we are in fact have a fair holding value for the assets.
Mark Chancy: And the disposal on the assets themselves when they're disposed has been elongated but they're very close to the carrying value at that time so the net gain or loss is relatively modest.
Operator: Your next question comes from Scott Valentin- Fdr Capital Markets.
Scott Valentin - Fdr Capital Markets: A question on national credits, there was a west coast bank that had some problems this quarter in their portfolio and I was wondering if you could remind us how big your national shared credit portfolio is, the current performance, geographic exposure, maybe any industry concentrations.
Mark Chancy: I don't have those specific numbers in front of me in terms of the shared national credit. We are just beginning the shared national credit exposure at the moment. Much of large corporate exposure in within the shared national credit umbrella. In terms of the number of lead credits where we have where we would be exposed to criticism by the regulatory agencies is a relatively small amount. We independently review rates and determine performance within each one of those credit going forward. We're not anticipating a big movement coming out the shared national credit.
Tom Freeman: If you look at last quarter's presentation, there was a pie chart in the S&I slide that showed you the geographic breakdown of our credit. There was a national portion of that and that would include the portion of the large corporate loans and sub set of that would be the book.
Scott Valentin - Fdr Capital Markets: In terms of loan modification both on C&I and commercial real estate, has there been a pick up in borrower contacts trying to modify loans given where commercial real estate prices are and how do you feel if a borrower came to you, properties cash flowing with the LTV now is much higher. What are the options in that situation?
Mark Chancy: Our mitigation activity continues apace. We're doing I think a very good job for our clients. We're doing many thousands of modifications on a quarterly basis on the consumer side. On the commercial side, we're not having to do substantial amounts of modifications on the commercial real estate side other than within the home builder portfolio. We generally work with our clients. We support them where required. If they continue to have the capability to make their loan payment, we'll continue to support them in an appropriate manner. We don't have a big problem in our commercial real estate book.
Operator: Your next question comes from Jefferson Harralson – KBW.
Jefferson Harralson – KBW: I had a question on Page 13. It looks like the total expense this quarter was $213 million and I think I hear you saying that the normalized number is $10 million to $20 million and you're saying you expect expense to be $100 million next quarter. Is that hearing the comments correctly?
Tom Freeman: Not quite. Basically what we said is the top box is operating loss expense and you see a $22.6 number, you should be thinking of operating losses in the $10 million $25 million range going forward assuming no high volatility. And then of the $173 million of what we added to the reserve, the portion that we would expect to write off in charge offs next quarter was roughly the $100 million number that Mark mentioned.
Jefferson Harralson – KBW: So that's why you had overall reserve build there.
Tom Freeman: Correct.
Jefferson Harralson – KBW: Let me ask you about the cap programs. I know we're on the eve of you receiving information about the stress tests, do you think the cap program has an interesting six month insurance policy or is it just kind of government interference you don't want or is it something else?
James Wells: As soon as we are through the federal examination that the stress tests are, we would know the answers to all of that, and until we do, we don't know. And we'll just have to see how it goes.
Operator: This concludes today's conference.